Operator: Thank you for standing by. My name is Angela and I will be your conference operator today. At this time, I would like to welcome everyone to the Green Brick Partners, Inc. Second Quarter Conference Earnings Call. [Operator Instructions]. I would now like to turn the conference over to Rick Costello, Chief Financial Officer. Please go ahead.
Richard Costello: Good afternoon and welcome to the Green Brick Partners earnings call for the second quarter ended June 30th, 2024. Following today's remarks, we will hold a Q&A session. As a reminder, this call is being recorded and will be available for playback. In addition, a presentation will accompany today's webcast and is also available on the company's website at investors.greenbrickpartners.com. On the call today is Jim Brickman, Co-Founder and Chief Executive Officer; Jed Dolson, President and Chief Operating Officer; and myself, Rick Costello, Chief Financial Officer. Some of the information discussed on this call is forward-looking, including the company's financial and operational expectations for 2024 and beyond. In yesterday's press release and SEC filings, the company detailed material risks that may cause its future results to differ from its expectations. The company's statements are as of today, August 1st, 2024, and the company has no obligation to update any forward-looking statement it may make. The comments also include non-GAAP financial metrics. The reconciliation of these metrics and the other information required by Regulation G can be found in the earnings release that the company issued yesterday and, in the presentation, available on the company's website. With that, I'll turn the call over to Jim. Jim?
James Brickman: Thank you, Rick. I'm extremely proud of our record performance in the second quarter. During the second quarter, we achieved another set of record-breaking results for the company. First, we delivered a record 987 homes and join underrated record home closing revenue of $547 million, an increase of 20% year-over-year. Second, our Homebuilding gross margin soared to a record 34.5%, which is the highest among public homebuilding peers as shown on Slide 4. Year-to-date, the net income attributable to Green Brick grew 35.3% and earnings for share increased 38% year over year to $4.14. This performance was highlighted by a record quarterly EPS of $2.32, up 42.3% year over year. Thanks to the collective effort of our team, we have consistently generated some of the best returns in the industry. We believe that our unique business model will continue to demonstrate its strength and position us for sustainable growth. With our record results, Green Brick's annualized return on equity for the first half of 2024 was 28.3%. Our book value at the end of the quarter increased 26% year-over-year, but $31.21 per share. Equally important, our growth was created on one of the least leveraged balance sheets and one of the lowest costs of debt among our small and mid-cap peers. At the end of the second quarter, our total debt to total capital ratio was 17.7%, while our net debt to total capital ratio was only 10.9% with a weighted average pay rate of 3.4%. As shown on Slide 5. Since 2022, we have consistently generated exceptional homebuilding gross margins, achieving margins of more than 30% in all three quarters. Our extraordinary performance is a result for superior locations in high-growth markets. Our investment grade balance sheet, our self-development strategy, and the commitment and expertise of our team. The land light model has gained traction on Wall Street with many major home builders prioritizing being land light regardless of the cost and resulting potential degradation of margins. Green Brick, however, has taken a different approach. By thoroughly evaluating and understanding our markets, we prioritize acquiring, entitling and developing land ourselves, allowing us to achieve significant cost savings compared to retail-priced option lots. We understand land risk and compensate for that risk with strong underwriting and a very low-leverage balance sheet. Land bankers known for their sophistication in the real estate industry often aim to maximize their profit by demanding high implicit interest rates and significant earnest money deposits, where the builders assume land development costs and completion risk. Builders agree to these additional costs in order to transfer land risk and financial burden off the home builder's balance sheet. Given the current interest rate environment, the increasing finished lot costs associated with the land light model make it an unattractive option for us, and we anticipate these dynamics to continue. For Green Brick, we are not experiencing those increased finished lot costs as Rick will cover shortly. More importantly, for Green Brick being land -- hasn't translated into inferior returns. In fact, we have produced consistently strong return on assets and equity as shown on Slide 5. Our return on equity since 2022, average 28%, and our return on assets average 18%. We have been able to significantly increase our lot position while de-leveraging our balance sheet as shown on Slide 11. Additionally, in our largest markets, Dallas-Fort Worth and Atlanta, there are very few third-party lot developers. Being able to self-develop land, unlocks access to more land opportunities, especially in desirable infill and infill adjacent submarkets. This approach also allows us to produce finished lots at wholesale prices as opposed to buying at retail, and control the pace of lot deliveries. We believe our unique strategy and land provides us with strong competitive advantages to continue to gain market share in a capital-efficient manner. So, the US housing market, it has been challenging for most homeowners to break free from the golden handcuffs of mortgage rates at 76% of outstanding mortgages are still locked in at mortgage rates of less than 5%, as shown on Slide 6. As a result, existing home inventory continues to remain near historic lows during the second quarter, as shown on Slide 7. The lack of supply is more evident in infill and infill of adjacent sub-markets where we get consistently generated over 80% of our revenues. Green Brick is strategically posed to capitalize on what we believe are long-term secular demographic shifts. As shown on Slide 8, a wave of Millennials and Gen Z continue to enter their prime home buying age over the next decade. Two few of homes were built over the years since the great financial crisis, which created systemic housing shortage estimated to be between 4 million to 7 million units. An aging housing stock presents another challenge. The average age of owner-occupied homes in the US is estimated to be 40 years old. These dynamics create significant growth opportunity for new home sales, and we believe Green Brick is well-positioned to capture additional market share over the longer term. Over the past year, we have focused on securing new land opportunities to fill our pipeline and to build up many lots to our builders as quickly as possible. Jed will discuss more about our land and lot position shortly. Lastly, I'm excited to announce our strategic decision to establish our wholly owned mortgage company, Green Brick Mortgage, which will replace our existing joint venture in which we own 50%. We expect Green Brick Mortgage to harvest a 100% of the mortgage profits in the beginning of 2025. This transition will enhance our control over the mortgage origination process. Allow us to optimize our customer experience, improve operational efficiency, and capture more earnings and profitability by aligning our mortgage operations more closely with our overall business strategy and company culture. With that, I'll now turn it over to Rick to provide more detail regarding our financial results.
Richard Costello : Thank you, Jim. Please turn to Slide 9 of the presentation. As Jim mentioned earlier, the second quarter was a record for Green Brick on multiple fronts. We achieved record home closings revenue of $547 million up 20.4% year over year on a record 987 homes closed an increase of 26%. The increase in deliveries is attributable to limited competition in our infill and infill adjacent communities. Reduce cycle times and increase starts leading to higher levels of available spec inventorying. As discussed during our past earnings calls, our shift in community mix from closing out infill communities to opening new communities in surrounding infill adjacent areas, especially under our trophy brand, has moderately lowered our ASP from a year ago. In the second quarter, ASP declined slightly by 4.4% year over year to $554,000. This was our smallest decline in ASP in the past four quarters. We continue to expect ASP to be in the range of $540,000 to $560,000 for the second half of the year, subject to changes in product mix and business conditions. Another record that we broke this quarter was homebuilding gross margins, which reached 34.5% Gross margins were up 320 basis points year-over-year in 110 basis points higher than our previous record of 33.4% achieved last quarter. More importantly, homebuilding margins were strong across all builder brands, including trophy that primarily built entry-level and first-time move-up homes. As shown on Slide 4, we continue to lead our peers in gross margin performance. The gains in gross margins were due to lower incentives on closed homes year over year as a result of our infill and infill adjacent communities, and favorable construction and average lot cost. Green Brick expects that over the two years from calendar year 2023 to calendar year 2025, our average developed lot cost as a percentage of average sales price is expected to increase only 30 basis points per year. We anticipate that this expected minimal increase in our average developed lot cost will stand in contrast to our landline peers who often pay annual escalators of 6% to 7% to third-party land developers. Even worse for landline peers per John Burns research, brokers indicate that prices rose 11% year over year in Q2 ‘24 for finish lots and 10% for both undeveloped land and development costs. Back to Slide 9, SG&A as a percentage of residential units’ revenue for the second quarter improves 30 basis points year over year to 10.5%. Driven by our record gross margins on record revenues, our net income attributable to Green Brick increased 40% and diluted earnings per share for the second quarter grew 42% to $2.32 per share both records for any quarter in company history. During the quarter, we benefited from a $0.11 discrete tax benefit for equity compensation deductions. However, even excluding this discrete tax benefit, we delivered the highest EPS in company history. Net new orders in Q2 were up 4.0% year over year to 855 homes, the highest level for any second quarter in company history. Jed will further discuss our sales pace momentarily. In the second quarter, we continue to expand our footprint to position us to capture additional market share. Active selling communities at the end of the period grew 22% year-over-year to 105. In particular, our ending community count for trophy grew 41% year over year to 38%. Our cancellation rate for the second quarter remained low at 9.2%. This was, again one of the lowest cancellation rates among public homebuilding peers as shown on Slide 12. Our cancel rate remained in the historically low range under 10%, which it has been since December 31, in ‘22. As shown on Slide 10 year over year units under construction were up 23% with starts averaging 952 homes for the last four quarters. Year-to-date, we have now sold 1,926 homes delivered 1,808 homes and started 1,980 homes closely matching the sales pace and the production pace. Year-to-date, we delivered 1,808 homes generating home closings revenue of $990 million, an increase of 9.6% year over year. Home bookings gross margins increased 450 basis points to 34.0%. As a result, net income attributable to Green Brick grew 35.3% year-to-date to $189 million and diluted EPS climbed 38.0% to $4.14 for the six months ended June 30th, 2024. Next, our backlog value at the end of the second quarter increased 11% year-over-year to $650 million. Backlog is up 17% year-to-date. Now, as opposed to closing ASP, backlog ASP increase 10.1% to $732,000. Trophy a spec home builder continues to represent only 15% of the overall backlog value due to its reduced construction cycle times and quick inventory turns. Spec units under construction as a percentage of total units under construction increased slightly sequentially to 65% at the end of the second quarter as we started more spec homes. Our investment grade balance sheet continues to serve as a strong springboard for future growth. At the end of the second quarter, our net debt to total capital ratio was 10.9%, and our total debt to total capital ratio was only 17.7%. As shown on Slide 11, this level of financial leverage is running among the best of our small and mid-cap public homebuilding peers. 100% of our outstanding debt is fixed rate with a weighted average interest pay rate of 3.4%. Furthermore, at the end of the quarter, we had $133 million of cash on hand, readily available for deployment, and $360 million in undrawn lines of credit. Finally, we remained active with share buybacks during the second quarter. We bought back approximately 1.5% of our shares outstanding, valued at $38 million with a weighted average price of $55.58 per share. The remaining dollar value of shares that may yet be purchased under the 2023 repurchase plan was approximately $61.3 million as of June 30th, 2024. We continue to weigh and balance investment opportunities with share repurchases with the goal of delivering best-in-class risk-adjusted returns for shareholders over the long term. With that, I'll now turn it over to Jed. Jed?
Jed Dolson : Thank you, Rick. Demand was healthy during the second quarter. Net new orders moderated from a near record level in first quarter of 2024, but grew slightly year over year to 855 sales, representing our best Q2 order level in company history. Our sales pace for the second quarter was 8.5 homes per average active selling community down from 11.4 in Q1, when our backlog grew 31% sequentially. In the latter part of the second quarter, we saw sales pace slightly moderate as we exited the spring selling season returning, we believe to the normal pre-pandemic seasonality that we have traditionally experienced. Increased mortgage rates during the quarter and metering of sales in certain infill communities also contributed to moderated orders. However, incentives for new orders picked up only modestly in the second quarter to 4.5% from 3.8% in March. We were still able to raise base prices moderately in approximately a third of our communities due to our footprint of infill and infill adjacent submarkets were supplies limited from both new homes and existing homes. Incentives were only targeted in select communities where traffic and orders were below desired levels and or respect homes at later stages of construction. We continued to offer many of our buyers the flexibility to use their incentive package for closing costs, partial rate buy-downs or both. Buyers who close using our affiliated mortgage company, continued to demonstrate strong qualifying profiles with an average FICO score of 741, and a debt-to-income ratio of 38% during the second quarter. With homebuilding gross margins, be it at an all-time high of 34.5%, we possess an abundance of flexibility and price adjustments if the market shifts. We remain optimistic that with our focus on infill and infill adjacent locations, we are well-positioned to capitalize on long-term secular demographic shifts and rising demand if or when mortgage rates drop. Through the diversification of our seven brands in a wide array of product types and price ranges, we believe Green Brick will appeal to a broad base of home buyers led by the growth of trophy signature homes in the entry-level and move up segments. As Jim mentioned earlier, Green Brick has been able to generate superior returns and growth over the past several years because of our unwavering approach to capital allocation and our land strategy. To propel this growth forward, we have diligently executed under a strategic capital allocation plan that we believe positions us for future success. In the second quarter of 2024, we increased our spending and land acquisition and finish lots to approximately $119 million. We spent another $40 million in land development. Year-to-date, our total spend has reached over $300 million and we are on track to meet our original land acquisition and development target of $700 million in total for the full year of 2024. Please recall that this is taking place with a total debt-to-capital ratio of under 20%. We have added close to 10,700 new lots offset by approximately 3,800 starts for a net increase of approximately 6,900 lots owned and controlled, at 26% increase year over year. Approximately 67% of these lots will be infill and infill adjacent locations with the remaining 33% in outlying high growth corridors. This brings our total lots owned and controlled to over 33,300, a new all-time high for the company, and a 16% increase from the start of the year excluding 16,700 lots in long-term communities, it provides approximately five years of lot supply based on the start pace in non-master communities over the last 12 months. Over 97% of our current inventory of lots owned and controlled are expected to be self-developed. We believe the emphasis on self-development will allow Green Brick to continue generating industry-leading gross margins and performance as these self-developed lots avoid expensive premiums charged by third-party land developers and allow us to control the pace of lot development and delivery as well as starts. Cycle times now have stabilized and average 5.4 months for homes that completed construction during the second quarter. This was a reduction of more than two months from the second quarter of 2023 and five days shorter than the previous quarter. As the third largest home builder in Dallas-Fort Worth, we see potential to further optimize our cycle times and reduce costs by leveraging our scale. Securing high-quality land remains our top priority. By persistent high mortgage rates, our land markets remain competitive in most of our key sub-markets. We continue to underwrite deals with a minimum of 21% unleveraged IRR threshold. Our deep local market presence, knowledge, relationships, and reputation, grants us an unreadable visibility on land opportunities while a robust balance sheet enables us to act swiftly. Slide 13 and Slide 14 provide additional detail on our finished lot pipeline in sub markets of Dallas-Fort Worth and Atlanta two of our largest submarkets. We currently have 41 communities under development. Over the next six months, we plan to complete these lots for delivery to our builder brands of approximately 1,700 lots. By the end of 2024, we expect to have an inventory of approximately 4,700 finished lots for our subsidiary home builders with over 1900 of those finished lots being allocated to trophy. Green Brick is well-positioned for continued growth into 2025 and beyond. Having secured both short- and long-term land needs. For the first half of 2024 trophy, our entry-level first-time move-up value builder closed 810 homes representing approximately 45% of our total number of home closings, resulting in 34% of our total home closing revenue. We expect this platform for which the company now controls over 23,500 home sites to contributing significantly to our 24 earnings and beyond. With that, I'll turn it over to Jim for closing remarks.
James Brickman: Thank you, Jed. In closing, I would like to give another round of applause, and thanks to our incredible team. Our record-breaking quarter is a direct result of the hard work of our people and years of meticulous planning and execution. These results are just the beginning for Green Brick. With the cooperative economy, our superior investments in land and lot inventory, and constantly improving building operations have created a long runway for sustained growth, particularly through trophy. This concludes our prepare remarks and we will now open the line for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Carl Reichardt with BTIG. Please go ahead.
Carl Reichardt: Rick, historically, we've talked about your starts pace and that being a driver to delivery volume six months out, and you've been running 952, I think was the average, is what you said. So now trophy's growing, supply chain's more normal, lost count is up. Can we expect that sort of 950, maybe a 1000 start pace to start picking up as we look quarters out? Or is your anticipation that it'll stay kind of flat from there as we move into ‘25 based on what you know now?
Richard Costello : It is certainly going to be a function of what happens on the sales floor. We're obviously developing a lot of communities and a lot of lots, but we’re not really going to suggest forward beyond what you see. I mean, you’re talking about the best indicator but we're not -- directionally, eventually it's going to go up, but from the timing standpoint, we’re going to remain silent.
Carl Reichardt : But the relationship, the six-month relationship, you intend -- you expect that that will continue on a go-forward basis. It won't shorten to five months or go to seven or something like that based on the mix that you plan.
Richard Costello : Five months or seven months of --
James Brickman: Are you talking about cycle time?
Carl Reichardt : So, what I mean is, if I look at your starts six months ago, two quarters ago, and I model that as deliveries six months, hence, that relationship has held pretty tight, pretty consistently over a long period of time. So, I'm wondering if cycle times are improving, if trophies more a bigger portion of your mix going forward, does that shrink down to like a five-month lead as opposed to a six?
James Brickman: Over time, it will certainly shorten because trophies delivering houses in 3.8 months versus 5.3 months overall. So, I mean certainly that is a dynamic and it's a positive one.
Carl Reichardt : And then can you guys, do you mind at all, Jim, talking a little bit about July and as I sort of look at rate movements have come down a lot, there seems to be a lot of elasticity in the marketplace for demand based on how rates are going. Is your sense that that's still the critical driver to how sales roll? Or are you seeing any sort of softening related to the consumer being concerned about their job or the election or sort of macro things beyond just sort of the mathematics of home ownership?
Richard Costello : Good question, Carl. Let me do a segue on this and that. One of the things CEOs just don't talk about very much anymore, because everybody's talking about financial engineering and doing a lot of other stuff, is, our goal is to create value entitling developing larger, longer duration neighborhoods that people want to live in, today and tomorrow, for some reason, that whole message of creating neighborhoods that people want to live in is absent from so many investor calls that I read transcripts of. That's our really, our primary goal. July sales have maintained at a pace that we expected we didn't have to incentivize sales any more than we expected to achieve those sales, and we aren't seeing really any diminished demand in any of our businesses other than one or two neighborhoods in Florida are soft right now.
Operator: Your next question comes from the line of Alex Rygiel with B. Riley. Please go ahead.
James Brickman: Alex, are you on mute?
Alexander Rygiel: I am sorry about that, gentlemen. With incentives up in, with incentives up a bit sequentially, does that suggest some modest headwind to gross margins in the third quarter and where were or are incentives in July relative to 2Q?
James Brickman: I really don't want to talk about that. In specificity, we're focusing on the current quarter, but certainly, what's happening on the sales floor translates more quickly with as much spec concentration that we have, particularly in trophy, where 70%, 80% of their homes that they close in a quarter were sold the same quarter. So, if interest rates are going up incentives go up, interest rates are going down, incentives come down subject to changes in seasonality, which we really saw a lot of people take vacations in June and traffic was down. So, I mean -- the direct answer is, it will be more variable, but it runs both directions good and bad.
Alexander Rygiel: And then as we think about monthly absorption clearly the last few years or so, been a notable step up in that absorption and understanding your mix shift and all. But is that sort of kind of the new norm of let's call it three per month for community?
James Brickman: That's a very comfortable level and really when you look at it from a year-to-date standpoint. Q1 was a lot quicker from an absorption standpoint, but we also grew backlog sequentially 31%. And as a predominantly a spec builder that is not necessarily where we're taking the organization. So, the fact that we're up sequential, I'm sorry, year-to-date still, like 17% is a strong dynamic. But which tells you that the year-to-date numbers are very pleasing to us because we have that equality between sales starts and closings.
Operator: [Operator Instructions]. And your next question comes from the line of Jay McCanless with Wedbush. Please go ahead.
Jay McCanless: The first one I had, I think, Jed, you may have talked about pricing only being able to raise prices in roughly a third of communities during the quarter. I would've thought with the infill -- the heavier weight of infill, you'd have been able to push a little more price. So maybe what was going on with that?
Richard Costello: I think just some seasonality that we exited toward the later part of the quarter.
Jed Dolson: And then I guess with trophy selling and closing 70% to 80% of their homes in a given quarter, I guess what's plan B if things start to slow down, if we start to see some job losses, et cetera. Do you think those homes go into the SFR BTR market? what's the business plan for those if things do slow down from the economy standpoint?
James Brickman: Jay, this is Jim Brickman. No, we don't sell into the build-for-rent market. We focus on creating nicer, longer-duration communities. And the people that are moving in those communities are not expecting to move into a rental community. We don't -- one of the really huge benefits of making 34.5% margins is that we can take a 10% margin hit and still have margins that are typical to our peers. And if our peers take a 10% margin hit, they go negative income. So, I don't lose sleep over a few jobs. We're in this business for the long run and we have plenty of cushion and margin to maintain sales velocity.
Richard Costello: Jay, this is Rick. One more -- I mean that was the answer. A and B. But also, in that environment where there are job losses, obviously the fed is going to respond with more aggressive rate cuts and the number of people who will qualify with those rate cuts exceed the number of people who will be without jobs. So, I think that the numbers work pretty well for us especially being in stronger job markets like Dallas and Atlanta.
Operator: [Operator Instructions]. There are no further questions, and that concludes today's call. Thank you all for joining. You may now disconnect.